Operator: Good day, and thank you for standing by. Welcome to the Q4 and full year 2025 Steven Madden, Ltd. earnings conference call. At this time, all participants are in listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. To ask a question during this session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Danielle McCoy, VP of Corporate Development and Investor Relations. Please go ahead.
Danielle McCoy: Thanks, Antoine, and good morning, everyone. Thank you for joining our fourth quarter and full year 2025 earnings call and webcast. Before we begin, I would like to remind you that our remarks that follow, including answers to your questions, contain statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause results to materially differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our press release issued earlier today and filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. The financial results discussed on today’s call are on an adjusted basis unless otherwise noted. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release. Joining me on the call today is Edward R. Rosenfeld, Chairman and Chief Executive Officer, and Zine Mazouzi, Chief Financial Officer and Executive Vice President of Operations. With that, I will now turn the call over to Edward R. Rosenfeld. Edward?
Edward R. Rosenfeld: Alright. Thank you, Danielle, and good morning, everyone. And thank you for joining us to review Steven Madden, Ltd.’s fourth quarter and full year 2025 results. We are pleased to have delivered above-guidance earnings results for the fourth quarter, driven by improved performance in our core Steve Madden footwear business, as well as a strong contribution from the newly acquired Kurt Geiger. Overall, 2025 was a challenging year, driven largely by the disruption and negative impacts resulting from new tariffs on goods imported into the United States. I am proud of how our team responded, acting quickly to mitigate the near-term impacts while staying focused on executing our strategy for long-term growth. At the center of that strategy is deepening connections with consumers through the combination of compelling product and effective marketing. And despite the difficult environment, our team made meaningful progress on those initiatives across our brand portfolio. In our flagship brand, Steve Madden, Steve and his design team created outstanding product assortments that resonated with consumers and led to a significant acceleration in demand in the back half, particularly in our core category of women’s footwear, momentum that has continued into early 2026. We are encouraged by the breadth of this strength, with robust demand across various silhouettes, materials, and trends. We have also elevated quality and materials, enabling higher average unit retails, while maintaining a strong price-value proposition. Our marketing team is amplifying these assortments with richer brand and product storytelling and an integrated, always-on, full-funnel strategy designed to deepen emotional connection with our key Gen Z and millennial consumers. Our marketing investments, combined with our trend-right product, are driving measurable brand heat. Online searches for Steve Madden increased 10% year over year in Q4 and have accelerated further early 2026. After revenue declines in Q2 and Q3, the Steve Madden brand returned to growth in Q4, and we expect to build on that momentum in 2026 with mid- to high-single-digit revenue growth. A highlight in 2025 was our acquisition of Kurt Geiger, which closed on May 6. In Kurt Geiger London, we added a brand with a unique brand image, distinctive design aesthetic, and compelling value proposition that have driven success across multiple categories, led by handbags. Its differentiated and elevated positioning, and its alignment with our strategic initiatives of expanding in international markets, accessories categories, and direct-to-consumer channels, make it a highly attractive and complementary addition to our portfolio. Integration is progressing as planned, and we are more confident than ever in Kurt Geiger’s potential to be a significant growth driver in the years ahead. Importantly, the Kurt Geiger London brand continues to have strong momentum. On a pro forma basis, revenue in the Kurt Geiger London brand grew 11% in 2025, and we expect similar growth in 2026. We also continue to make meaningful progress with our fastest growing brand since the pandemic, Dolce Vita. In 2025, we built on the outstanding success we have had over the last several years in our U.S. footwear business by expanding in international markets and gaining traction in adjacent categories like handbags. Turning to 2026, consumers are responding favorably to our new spring products, and we expect high single-digit revenue growth in Dolce Vita for the year. In summary, all three of our lead brands are poised for growth, and as we look ahead to 2026, we are particularly encouraged by the momentum building in Steve Madden and the opportunity for growth in Kurt Geiger London. On the other hand, we anticipate significant pressure in our private label, which is primarily conducted in the mass channel. We believe the negative impact of tariffs on revenue has been most severe here, where price sensitivity is highest and we do not have the benefit of brand leverage for pricing actions. Private label revenue decreased 15% in 2025, and we expect a further decline of nearly 20% in 2026. We also expect higher SG&A driven by the normalization of incentive compensation and the restoration of senior executive salaries. But overall, while we continue to face pressure and uncertainty related to tariffs, we are heartened that the fundamentals of our business are strong. Our product assortments and marketing campaigns are resonating with consumers, our brands are powerful and gaining relevance, and our strategy provides multiple levers for growth and long-term value creation. I will now turn it over to Zine Mazouzi to review our fourth quarter and full year 2025 financial results in more detail and provide our initial revenue outlook for 2026.
Zine Mazouzi: Thanks, Ed, and good morning, everyone. In the fourth quarter, our consolidated revenue was $753.7 million, a 29.4% increase compared to 2024. Excluding the newly acquired Kurt Geiger, consolidated revenue decreased 1.4%. Our wholesale revenue was $433.3 million, up 7.5% compared to 2024. Excluding Kurt Geiger, our wholesale revenue decreased 2.6%. Wholesale footwear revenue was $252.4 million, an 11% increase from the comparable period in 2024, or up 5.5% excluding Kurt Geiger, driven by double-digit increases in Steve Madden and Dolce Vita, partially offset by a double-digit decline in our private label business. Wholesale accessories and apparel revenue was $180.9 million, up 3.1% compared to the fourth quarter in the prior year, or down 13% excluding Kurt Geiger due primarily to declines in Steve Madden handbags and private label. In our direct-to-consumer segment, revenue was $316.6 million, a 79.9% increase compared to 2024. Excluding Kurt Geiger, our direct-to-consumer revenue increased 1.6%, with modest increases in both our brick-and-mortar and e-commerce businesses. Demand in U.S. DTC returned to comp growth in Q4; a strong performance in our full-price channels offset continued weakness in our outlets. We ended the year with 399 company-operated brick-and-mortar retail stores, including 98 outlets, as well as seven e-commerce websites and 133 company-operated concessions in international markets. Our license and royalty income was $3.9 million in the quarter, compared to $3.5 million in 2024. Consolidated gross margin was 43.8% in the quarter, compared to 40.4% in the comparable period of 2024. Wholesale gross margin was 31.5%, compared to 30.5% in 2024, driven by the addition of Kurt Geiger business, partially offset by the impact of new tariffs on goods imported into the United States. Direct-to-consumer gross margin was 59.8%, compared to 62% in the comparable period in 2024, as a result of the addition of the relatively lower-margin Kurt Geiger concession business and the impact of new tariffs on goods imported into the United States. Operating expenses were $278.9 million, or 37% of revenue in the quarter, compared to $182.9 million, or 31.4% of revenue in 2024. Operating income for the quarter totaled $50.9 million, or 6.8% of revenue, compared to $52.6 million, or 9% of revenue in the comparable period in the prior year. The effective tax rate for the quarter was 23.1%, compared to 21.4% in 2024. Finally, net income attributable to Steven Madden, Ltd. for the quarter was $34.3 million, or $0.48 per diluted share, compared to $39.3 million, or $0.55 per diluted share in 2024. Now I would like to touch briefly on our full year results. Total revenue for 2025 increased 11% to $2.5 billion, compared to $2.3 billion in 2024. Excluding Kurt Geiger, revenue declined 6.6% compared to 2024. Net income attributable to Steven Madden, Ltd. was $120.9 million, or $1.70 per diluted share for the full year of 2025, compared to $192.4 million, or $2.67 per diluted share for 2024. Moving to the balance sheet, our financial foundation remains strong, and as of 12/31/2025, we had $234.2 million of outstanding debt and $112.4 million in cash, cash equivalents, and short-term investments for net debt of $121.7 million. Inventory at 12/31/2025 was $417.0 million, compared to $257.6 million at 2024. Excluding Kurt Geiger, inventory was $261.9 million, a 1.6% increase compared to the same time last year. Our CapEx in the fourth quarter was $10.3 million and for the year was $42.6 million. The company did not repurchase any shares of its common stock in the open market in 2025. During the fourth quarter and full year 2025, the company spent $5.2 million and $13.5 million, respectively, on shares acquired through the net settlement of vesting stock awards. The company’s board of directors approved a quarterly cash dividend of $0.21 per share. The dividend will be payable on 03/20/2026 to stockholders of record as of the close of business on 03/11/2026. Turning to our outlook, we expect revenue for the full year 2026 to increase 9% to 11% compared to 2025. For Q1 2026, we expect revenue to increase 15% to 17%. Due to the uncertainty related to recent developments with respect to tariff policy in the United States, the company is not providing earnings guidance at this time. I would like to turn the call over to the operator for questions. Antoine?
Operator: Thank you. At this time, we will conduct a question-and-answer session. As a reminder, to ask a question, you need to press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Our first question comes from Paul Lejuez from Citi. Please go ahead.
Paul Lejuez: Hey. Thanks, guys. Curious if you were prepared to give guidance as of a week ago and the Supreme Court decision and actions of the administration caused too much uncertainty that made you take this approach of not giving EPS guidance? Or was there already uncertainty? Was it still too high already where you did not plan on giving guidance? Let me just start there.
Edward R. Rosenfeld: Yeah. No. We did plan prior to Friday. We were planning on giving guidance for the year, based on the policy that was in effect as of that time. But, obviously, over the last few days, there has been an enormous amount that has changed, and a number of important questions remain unanswered. And there is genuine uncertainty about where things go from here, and obviously, we are talking about tariffs, which are a factor that have a significant impact on our earnings. So given that level of uncertainty, we just do not think it would be responsible to put out earnings guidance right now. And, ultimately, we view guidance as a commitment to the investment community, and we only want to provide it when we have the information clarity necessary to stand behind it, and at this moment, we just do not have that.
Paul Lejuez: Yeah. Got it. And then, I guess, was it just the tariff uncertainty? Obviously, there is an impact on your cost of goods, maybe where you source. Or is it also a function of already hearing something from your retail partners since Friday that has resulted in higher uncertainty?
Edward R. Rosenfeld: No. It is really the impact of tariffs and how that affects our cost structure and our earnings. That is why we did provide revenue guidance because we still feel that we have nice visibility into demand trends.
Paul Lejuez: Got it. And then just last one for me, if you could just give us an update on your sourcing dates, like how you ended the year in terms of country of origin, and if at this point, you are planning any changes for ’26. In the fall, we most typically have talked about this with China versus other.
Edward R. Rosenfeld: As you know, China back in 2024 was over 70% of our sourcing footprint, and we got that into the high thirties in 2025. Now year to date, that has got a four in front of it. We are back in the forties. Towards the tail end of the year, China came essentially into parity with many of the other countries that we are sourcing from in terms of the tariff, and that continues to be how we are thinking about it at least for the near term, but, obviously, we are going to remain flexible.
Paul Lejuez: Any other countries you can talk about?
Zine Mazouzi: Sure. The first one that we diversified to is Cambodia, and Vietnam comes right after it. And, obviously, Mexico, as we always emphasize Mexico for the Steve Madden brand, and given that Brazil now went from 50% to 10%, that really opens up the door for more production in Brazil as well for Steve Madden and Dolce Vita.
Paul Lejuez: Okay. Thanks a lot, guys. Good luck.
Edward R. Rosenfeld: Thanks, Paul.
Operator: Thank you. Our next question comes from Anna Andreeva from Piper Sandler. Please go ahead.
Anna Andreeva: Great. Thanks so much for taking my questions. The first one we have just on the Q1 revenue guide. You said 15% to 17%. It is lower than the growth you guys guided for holiday, and obviously, you talked about strength in the core continuing here into ’26. So is the difference there private label or anything else going on, maybe something with concessions at KG? Just wanted to follow up on that. And just as we think about the margin recapture back to low double digits achieved previously for the core business, can you talk about that? Kurt Geiger was the 9% margin business pre-tariff. I am not sure if you mentioned what were margins in ’25. And you talked about getting to high teens there over time. Can you maybe remind us on what revenue base that would be?
Edward R. Rosenfeld: Sure. In terms of the Q1 revenue, I think you are comparing it to what we just delivered in Q4. I think one important factor to understand is that Kurt Geiger, because it is primarily a DTC business, is much more Q4-weighted. So the impact of Kurt Geiger on the consolidated revenue growth rate is much more significant in Q4. So that is a big part of that. The other thing is, we are expecting the business excluding Kurt Geiger to be down about mid-singles in Q1. We expect it to grow each quarter thereafter. And the headwinds there, you hit the nail on the head. The biggest one is private label. About 95% of that decline is coming from private label, which we expect to be down about 30% in the quarter, or maybe even a little bit more. And then, obviously, still pressure on Steve Madden handbags, which we have called out previously, and, again, that is a business that we expect to turn positive in terms of growth in Q2. In terms of KG operating margins, we came in at about 6.8% for the period that we owned them in 2025. Obviously, we are not giving guidance for ’26 on an earnings basis, so we are not going to provide an estimate of what that looks like in the near term. But as you pointed out, we have committed to getting that into, initially, the low double digits, and we certainly think that brand’s business has the potential to be a mid-teens operating margin business over time.
Anna Andreeva: Okay. That is very, very helpful. And just follow-up on the core business. Do you think getting back to low double digits, which you were just two years ago, is pretty realistic over time, or can you even do better?
Edward R. Rosenfeld: Yeah. I think getting back to where we were is realistic. Obviously, the timing on that is in flux with all the uncertainty that we are facing right now.
Anna Andreeva: Thank you so much. Best of luck.
Edward R. Rosenfeld: Thank you.
Operator: Thank you. Our next question comes from Jay Sole from UBS. Please go ahead.
Jay Sole: Super. Thank you so much. Ed, maybe if we talk about the fiscal ’26 guidance, can you just help us understand the private label business, kind of like, can you size it for us, like where it finished in 2025, and kinda where you see it trending for 2026?
Edward R. Rosenfeld: Yeah. That is clearly the biggest challenge that we are facing right now. So private label, to take you back, was about $415 million in 2024. We had a pretty significant decline in ’25, down to about $355 million, so around about a $60 million decline. Where we sit today, we see an even bigger decline in 2026. I think that could approach a $70 million decline. So that is why we articulated it approaching a 20% decline in 2026. And, again, that is very different from what we are seeing in the branded business, where we are seeing a very nice recovery from the hit that we took in 2025. And as we mentioned in the prepared remarks, this is a business that has really been affected much more severely by tariffs because this is primarily done in those value channels, as you know, where our customers are most price sensitive, and where, because it is private label and we do not have the benefit of our brands and the brand leverage, we do not have that power when looking to employ pricing actions. And so we have seen some of those customers pull back from us on a temporary basis. We are confident that we will be able to build that back over time. We still have good relationships with those customers. We still feel that we bring something very compelling to them in terms of our styling, our fashion, and the information that we have about what is working in other channels. But it is clearly a headwind for 2026.
Jay Sole: Okay. That is clear and super helpful. Maybe if I can just ask a couple more. Can you also talk about the off-price business and kinda how you are viewing that for fiscal ’26? And maybe, Zine, one for you, just on SG&A. You called it out in the press release, some higher incentive comp, but also maybe can you just talk about maybe some other executive salaries, with the impact of lower private label sales or some of the other costs in the business? Like can you give us an idea of how you expect SG&A dollar growth to be in fiscal ’26 would be helpful. Thank you.
Edward R. Rosenfeld: I will start with the off-price and then I will turn it over to Zine. So the off-price business is recovering. We took a significant hit there in ’25 as well with all the tariff disruption, and we should see nice growth in that channel in ’26. I do not expect to get in that channel all the way back to where we were in ’24, which is in contrast to our first-tier retailers, our department stores, pure-play e-commerce retailers, specialty stores, etcetera, where we expect the growth in 2026 to recapture everything we lost in ’25 and then some. So, essentially, first tier, we are going to be above ’24/’25. Off-price will be below ’24 but above ’25. And mass will be below ’24 and ’25.
Zine Mazouzi: So, Jay, from an OpEx perspective, obviously, in addition to the inclusion of Kurt Geiger for a full year versus just having them for eight months the prior year, we will also see some pressure in our SG&A. I think we talked about the headwind from resetting the incentive compensation and restoring the salaries. That is about 14 to 15 pennies right there. And as you may recall, that was reduced for a good portion of fiscal 2025, the salary base. We are also expecting the warehouse fulfillment cost pressures to continue into 2026. That is both from occupancy from renewing two leases in two of our major warehouses, and labor costs, where we are still seeing inefficiencies in labor and labor shortages that we have to react to on a daily basis in California. We also expect warehouse fulfillment costs to be high as our business increases and our DTC increases. And our plan is to maintain our investment in marketing to capitalize on the good trends we are seeing on the product side and further support our international expansion. And, also, we will continue to invest in our IT system and store fleet, which has an impact on depreciation.
Jay Sole: Got it. Alright. Super helpful. Thank you so much.
Zine Mazouzi: Thank you.
Operator: Our next question comes from Marni Shapiro from The Retail Tracker. Please go ahead.
Marni Shapiro: Hey, guys. Thanks for taking my call. And I have to say congrats because the product in your stores looks absolutely outstanding. So I am curious if we could just run through the tariff numbers. Based on forgetting the Supreme Court changes, but based on where we were, were the hardest hits of tariffs, that product coming through during the holiday season through ’26? Is that what it looked like prior to this? And then if you could just also talk a little bit about the sales trends, what percentage or what did it look like, how much were you able to pass through either to the consumer or mitigate with what you were doing internally?
Edward R. Rosenfeld: Yeah. First of all, thank you for your comments on the product. That is ultimately the most important thing. The greatest driver of our financial performance is the strength of our product, so we appreciate that. I guess I could start on the tariff question, then Zine can jump in. We did not have a lot of pressure last year in Q1. What was the last part of the question?
Marni Shapiro: The sales trends.
Zine Mazouzi: The how much we were able to mitigate?
Edward R. Rosenfeld: Oh, and then in terms of mitigation, yeah. As you know, we have put through some price in Steve Madden in particular. It is about, I would say, 10% on like categories, and we felt we have been successful in getting that through and maintaining nice full-price selling. That is because we have the fashion right, I think, most importantly, and also because of what I mentioned earlier, which is that we have elevated quality and materials so that there is more perceived value in the product. Obviously, that was not enough to offset the full amount of the tariffs.
Zine Mazouzi: Right. So from a flow of tariffs, Marni, Q1 was definitely the highest. Q2, we started seeing that we are comping some of the from the prior year, and Q3 and Q4 had minimal impact.
Marni Shapiro: Great. That is what I figured. Just wanted to confirm. And then could you just, I know it is a smaller part of the business, but just curious how the apparel business has been going. You know, it looks very good, particularly in Macy’s and some of the other stores. I am curious, have the results there been good? Is the customer excited about the brand?
Edward R. Rosenfeld: Yeah. Thank you for asking about that because I am really excited about what we are seeing in apparel. You know, we continue to do really well in that. Our largest category has been sweaters, and we continue to perform well there. We had a lot of success there, and anything with fur was really phenomenal for us. But I am excited about some of the traction that we are seeing in outerwear, too, in Q4. And even now, we are seeing some nice early reads on more lighter-weight outerwear pieces. So that is exciting. We are getting additional doors with some of our key department store customers like Dillard’s and Macy’s, and that is not only the contemporary sportswear departments but also dress departments. And we are investing there. You know, we brought on some high-level, very experienced talent last year into the organization, and really feel good about that and about the path that we are on. So that should be a growth vehicle for us in the coming years.
Marni Shapiro: Great. Thanks, guys. I will leave it for someone else.
Zine Mazouzi: Thank you.
Operator: Thank you. Our next question comes from Sam Poser from Williams Trading. Please go ahead.
Sam Poser: Thanks for taking my questions. You talked about the factors that—the tariff factors. Can you walk through, sort of, specifically what is concerning you? Because, theoretically, especially with, you know, you are a few basis points better in a lot of countries, and you are a lot better in Brazil than you anticipated for the time being. Can you talk about, in any detail as you can, about the factors that have precluded you from giving guidance? Maybe what may happen with 301 tariffs and things like that? And then I have one more.
Edward R. Rosenfeld: I mean, Sam, we can talk about this all day, but I think the headline is there is just a tremendous amount of uncertainty. We do not have clarity on, or any stability in terms of, the policy environment here. And so we do not know what it is going to look like from day to day. There have been multiple changes within the last five days. I think even yesterday, we got some new information that we have not yet confirmed about where we are. So, obviously, we have a responsibility to give investors information that is accurate and reliable. And until there is more clarity around tariffs, I do not think earnings guidance would meet that standard.
Sam Poser: No. I understand that. So let me ask it another way. If we take today versus Thursday, just in that factor, that could make it better than you thought it would be. But there are other factors possibly coming soon that could make it the same or worse than it was on Thursday. Is that a fair way to think about the overall—
Zine Mazouzi: Yes.
Edward R. Rosenfeld: I think that is accurate. Yeah.
Sam Poser: And then with the weakness or with the planned down private label business that is going to be down, that structurally sends your gross margin up, other factors you have already talked about with SG&A, but your SG&A in dollars goes up as well as a percent of sales because it does not use very much SG&A. So, conceptually, your gross margin is going up and SG&A is going up a little bit more because of the incentive comp and the other factors that Zine just walked through. Is that a fair—like, in dollars, it goes up because of those factors. As a percent, it would go up anyway because there is virtually no SG&A attached to the private label.
Edward R. Rosenfeld: Yeah. There was a lot there. But it is true that as private label shrinks, that is a mixed benefit to our gross margin. It is also true that there is not a lot of SG&A that goes away when that business comes down.
Sam Poser: And what is the time frame between the orders written, let us say, by the mass—by Walmart, Target—versus everything else? So what is your visibility right now on orders from them, and when do theirs—you mentioned at one of the meetings that some of these guys are going to go direct. When do you think that product that they do themselves starts hitting their shelves so they can see how well it did or does compared to what you have delivered over the years?
Edward R. Rosenfeld: Well, we are seeing declines throughout this year. So there are, we assume, products coming from other places that they are filling in in spring and then some more in fall. So I think that is the answer. In terms of the timing, in terms of the visibility, it is not that different from what we see in the balance of the business. They do work a little farther out. But because of the first-cost nature of the business, that means that where we are delivering the product earlier to them, because they are picking it up to get it through the warehouse into their overseas, and then they are responsible to bring it to the United States and to their floors, the time between when we take the order and when we ship it is very similar to the branded business.
Sam Poser: Thanks very much. Good luck.
Zine Mazouzi: Thank you.
Operator: Thank you. Our next question comes from Tom Nikic from Needham. Please go ahead.
Tom Nikic: Hey. Thanks for taking my question. Ed, I think you made a comment before about the decline in private label, and you characterized it as temporary. Is that based on, you know, kind of conversations you have had with partners who have kinda told you that in a more normal environment, you would get that business back? Or is there any risk there that that chunk of the revenue base has, you know, kind of been structurally reduced?
Edward R. Rosenfeld: Yeah. No. Hopefully, what I said is that I hope it is temporary. We believe it will be temporary because we believe that we offer these customers something that they cannot get from other folks. And that is why we have been able to build very successful business with them over decades. And, frankly, we have seen this movie before. There are periods where they get new management or whatever, and somebody comes in and says, hey, there is maybe a lower-cost provider, or we could go direct, or whatever, and we have seen our business contract. But, typically, after a season or two, when perhaps they do not get the fashion as right as we have done it for them in the past, we have seen them come back to us, and that business has come back. And certainly, that is what we will be working very hard to make happen here.
Tom Nikic: Understood. Very helpful. And a quick follow-up on SG&A. I know there are a bunch of headwinds this year. I think you mentioned something like $0.15 from, when you layer it all together—like, what order of magnitude should we think about from incentive comp, and I know that there is a wraparound of the Geiger acquisition. High single-digit revenue growth for the year. Should we think, like, teens for SG&A growth this year?
Zine Mazouzi: Yeah. I will step in there. I think we are not going to guide all the line items down the P&L. Given that we are not providing earnings guidance, we had to postpone that one until we put out the earnings guidance.
Tom Nikic: Fair enough. Alright. Thanks very much, and best of luck this year.
Zine Mazouzi: Thank you.
Operator: Our next question comes from Dana Telsey from Telsey Advisory Group. Please go ahead.
Dana Telsey: Good morning, everyone. As you think about the DTC business, any unpacking of how e-commerce did relative to stores, what you are seeing full-price and outlet, and plans for opening stores this year and remodels and refreshes? And then also just touching on how that did for the Kurt Geiger brand, and how did it do for the Steve Madden brand? Thank you.
Edward R. Rosenfeld: Sure. Yeah. So in terms of stores, we saw a nice acceleration in our DTC overall, nice acceleration in Steve Madden in Q4. That was driven by full-price channels. We still had a double-digit decline in outlets. But we had a nice increase in our full-price stores and an even stronger increase in our e-commerce business. And all of those businesses have actually improved further going into Q1. So I feel good about the momentum there. Outlet is still running negative, although we have gotten that into the single digits quarter to date, and we actually even are positive for the month, which we have not seen for a little while. So that is a positive story. Kurt Geiger had a very strong comp performance of high teens in Q4 in the Kurt Geiger brand, driven primarily by digital, but also a healthy performance in stores. And as we look ahead, we will have some store growth in Geiger. As we have talked about, one of the initiatives is to open more stores in the United States. We view that as a revenue and profit opportunity, but also as a vehicle for us to build brand awareness and really tell the Kurt story because, as we have said, we think the stores are the best expression of the brand. So right now, I think we are looking at about five stores opening this year in the United States, and we are excited about those. One of those will be an outlet; the balance will be full-price. In terms of Steve Madden, I think we will probably open maybe 18 stores around the world, but we will close a similar amount, maybe even a little bit more. So I think the store base there is not going to grow. And then we have a handful of remodels as well. I do not know the number. Zine, I do not know if you have that at the top of your head.
Zine Mazouzi: For major remodels, we are probably over 10.
Dana Telsey: Got it. And then marketing spend this year, how are you thinking about it?
Edward R. Rosenfeld: I think you will see we are going to continue to invest in marketing. Obviously, we are growing the top line. Over the past several years, we have seen a really significant increase in the percentage of revenue. This year, I think we are planning that more flat as a percentage of revenue. So up in dollars on the growing sales, but really pretty similar in terms of percentage of revenue.
Zine Mazouzi: Thank you.
Operator: Thank you. As a reminder, to ask a question, please press 11 and wait for your name to be announced. Our next question comes from Aubrey Leland Tianello from BNP. Please go ahead.
Aubrey Leland Tianello: Good morning. Thanks for taking the questions. I wanted to go back to the annual revenue guidance of 9% to 11%. Could you maybe break that down in terms of what you are expecting from the core business in wholesale footwear, accessories, apparel, DTC, and then also what you expect Kurt Geiger to contribute in terms of revenues?
Zine Mazouzi: Sure.
Edward R. Rosenfeld: Yeah. So I guess I will start off by saying that the business excluding Kurt Geiger we are looking to be up low singles. And, again, just to point out, that includes that private label pullback. So if you exclude private label, we are looking to be up around 6% to 7% at the midpoint of the guidance. Kurt Geiger, on a reported basis, will be up, you know, 50%. And then if you are looking at that on a pro forma basis, just so you can understand the underlying growth there, that is up really high singles, with the brands growing in the low double digits and then concessions pulling down the overall consolidated number there. In terms of the segments, branded wholesale footwear and wholesale accessories, excluding Kurt Geiger, should show nice growth, kind of mid- to high-singles—positives there—with, again, private label down significantly in each of wholesale footwear and wholesale accessories. And then DTC, I think we have got that, excluding Kurt Geiger, growing around 7.5% at the midpoint.
Aubrey Leland Tianello: Perfect. Thank you. And then, Ed, I think you mentioned on the last call that for Q4, there would be something like mid-teens AUR increases with about 10% of that coming from like-for-like and the rest from product mix. How should we be thinking about AURs going into 2026 and particularly on the product mix side of things?
Edward R. Rosenfeld: Yeah. We continue to see nice benefit there. I think in the Steve Madden DTC business, in the U.S., we were up about 18%, actually, where we ended for Q4, and we are trending pretty similar to that in Q1. And, again, it is really three factors: it is roughly 10% price increases, and then you have got the mix and then a little bit of reduced promo activity as well. As we move throughout the year, I do expect that to moderate somewhat. I do not think we are going to provide specific guidance around AUR, but I still think it should be a tailwind in the coming quarters.
Aubrey Leland Tianello: Very helpful. Thank you. Thank you.
Operator: Our last question comes from Janine Stichter from BTIG. Please go ahead.
Janine Stichter: Hey. Good morning. Can you talk a little bit more about your wholesale footwear business outside of the private label? It came in a bit better than expectations. Maybe just speak to what you are seeing in terms of initial orders and reorders, and given where your supply chain is positioned right now, are you in a position to chase additional demand if it comes through?
Edward R. Rosenfeld: Yeah. We are really excited about the momentum that we have there, and, again, specifically in that core Steve Madden women’s business, it feels better than it has in quite some time, frankly. You know, we saw a really significant acceleration in our sell-throughs in the back half of the year. They were actually negative in the first part of ’25, turned positive in Q3. We were up mid-teens—this is our sell-throughs to the end consumer—in Q4 and so far in 2026. And our wholesale customers are really reacting, and so we are seeing better initial orders. We are seeing chase activity. As we look at plans going forward, obviously, those are getting better based on the momentum. I will say, most of our big customers seem to want to really position themselves to chase, though. I think they are trying to leave a little bit of room in the way that they plan to chase hot items. And, obviously, we continue to have a speed advantage over our competitors. We have the right product right now, and so we feel like we should be well positioned to win in that environment.
Janine Stichter: Great. And then just quickly, you mentioned Dolce Vita in the beginning of the call, signing up high single digits for the year. Maybe just remind us how big that business is and anything else you can speak to around the growth opportunity there.
Edward R. Rosenfeld: Yeah. I mean, Dolce Vita has been a really great story for us over the last five years or so. And as we said, it has been the strongest growing business for us in the company as a brand since the pandemic and most consistent. It has now finished the year over $240 million in revenue. And we feel like we just continue to build that brand. As we said, it was primarily all footwear in the U.S., it was historically primarily a wholesale business, then we built this very successful dolcevita.com business. Now we have opened a handful of stores, which are performing well. And we have started to now extend the brand into other categories. We are getting some nice traction in handbags, and we are also seeing some growth in international markets. So it is a good story, one we want to keep fueling.
Janine Stichter: Great. Thanks so much.
Operator: I am showing no further questions at this time. I will now turn it over to Mr. Rosenfeld for closing remarks.
Edward R. Rosenfeld: Great. Thank you so much for joining us on the call today. We hope you have a great day. We look forward to speaking with you on the Q1 call.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.